Operator: Ladies and gentlemen, and thank you for standing by. Welcome to the Indivior First Quarter Results Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] I must advise that this conference is being recorded today, Thursday, 14th of May 2020. I would now like to hand the conference over to your first speaker today, Mr. Shaun Thaxter, Chief Executive Officer. Thank you. Please go ahead, sir.
Shaun Thaxter: Good morning, everyone, and thank you for joining us today. I'm Shaun Thaxter, CEO, and I'm joined today by my colleagues, Mark Crossley, Chief Financial and Operations Officer; Christian Heidbreder, the Chief Scientific Officer; and Javier Rodriguez, Chief Legal Officer. I will make some brief opening remarks, then Mark will provide a rundown of our Q1 performance and current business trends and, of course, review our financial position. As you've seen from the press release, we delivered first quarter results, which were in line with our plan and on track to meet our 2020 financial guidance. Then the emergence of the COVID-19 lockdowns in March interrupted these plans, and we have since been refocusing our efforts on remaining strong, resilient and well positioned to support our workforce, patients, partners and other key stakeholders. We obviously do not know when the pandemic will end, but our expectation is that it will pass eventually. Our challenge is to ensure that Indivior emerges in the strongest possible position to deliver on our long-term strategy and vision in the post-COVID environment. As a reminder of our vision, we strive for all patients around the world to have access to evidence-based treatment for the chronic conditions and co-occurring disorders of addiction. This vision obviously drives our business and also guides our response to the current crisis. This is, of course, an extremely challenging time for many patients suffering with conditions such as Opioid Use Disorder and schizophrenia. Securing access to treatments when many countries have been in states of lockdown has presented real issues. Consistent with our vision, we have responded by allocating additional resources to ensure supply of patients while maintaining our focus on improving access. Access to treatment is driven through the support and passion of our more than 800 employees around the world, and I'm truly proud and grateful for the way that they have responded to this public health crisis, putting patients at the heart of what they do and embracing our guiding principles so that we can continue to move forward during these challenging times. Social distancing can lead to loneliness, isolation and despair, which are going to be major triggers for relapse for our patients. So the work that we do is incredibly important. In terms of our business resilience, we are fortunate that we entered this crisis in a position of relative financial strength. We had already streamlined our cost structure last year in response to generic film entry in the U.S., and we were conservatively managing our cash balance and liquidity. Today, our cash balance remains strong at $912 million, and as Mark will discuss, we are continuing to pursue a conservative capital allocation strategy. Maintaining a strong balance sheet is critical as we seek to mitigate enterprise risk. This is, of course, includes our efforts to settle outstanding litigation. And here, you will have seen that we increased the size of our provision by $183 million to $621 million. This increase reflects the current status of DOJ and other investigative matters. However, as you would expect, I'm not able to comment on this or any other ongoing litigation or investigative matters other than to refer your questions to the statements that we have provided in our press release. I'd like to return now in a little more detail to how we are addressing the challenges brought about by the pandemic. First and foremost, we are working intensely to maintain the safety and health of our global workforce and by following all relevant advice from local governments and health organizations. As a result, our global workforce has been working remotely since March with the exception of key manufacturing employees at our fine chemical plant in the U.K. We are making available a wide range of support resources such as wellness tools and care assistance programs and the ongoing feedback from our employees has been very positive. As a global leader in Opioid Use Disorder, our other key priority has been to maintain the supply of our medicines to those that need them most. Through business continuity planning, we have worked closely with our key suppliers and distribution partners as well as our own manufacturing and laboratory operations to ensure continuity of supply of buprenorphine and of our OUD treatment around the world. Of course, one of the major business impacts of this situation is that our field force cannot make in-person calls. This, combined with fewer patient visits to offices during COVID is negatively impacting U.S. SUBLOCADE enrollments as well as new prescriptions for PERSERIS. Both are down materially at levels consistent with industry analogs of approximately 40% drop since the mandatory lockdowns took effect. We are, however, encouraged that the recent trend has held relatively stable over the last 2 weeks with no further deterioration. This new reality is in sharp contrast to what we had experienced up to March when we were seeing positive impacts from our product growth strategy. The national response to our SUBLOCADE DTC campaign had been very positive with enrollments accelerating in January and February. And we were in line with our expectations for our organizational health systems contracting of activation. Consequently, total SUBLOCADE units dispensed in quarter 1 reached 23,400, up 19% sequentially versus the prior quarter and up 148% year-over-year. The resulting SUBLOCADE net revenue of $29 million was well on track to meet our prior full year 2020 net revenue guidance of $150 million to $200 million. As far as PERSERIS was concerned, quarter 1 net revenue of $3.3 million was ahead of our internal target and comfortably on track to deliver full year 2020 guidance of $15 million to $25 million. In each case, we will give full year guidance as soon as we have greater clarity and are in a position to do so. The flip side of the impacts on these long-term growth drivers is that we have experienced unexpected relative strength in SUBOXONE Film, even though our U.S. field force is no longer promoting the product. Here, there's been an increase in telemedicine-based prescribing in conjunction with federal and state government efforts to facilitate access to oral MAT treatments during the crisis. Not only are the DEA and SAMHSA jointly allowing health care professionals to initiate and continue buprenorphine treatment by remote means, but prescriptions are being written for a longer duration to help ensure that patients are covered. These factors have contributed to the uptick we have seen in the growth of the buprenorphine medication-assisted treatment market. This trend, along with the resilience we continue to see in SUBOXONE Film share, is helping us to at least partly offset the near-term promotional and net revenue challenges with SUBLOCADE. Of course, none of us know how long these changed market dynamics will last, but I do want to reassure you that our long-term growth strategy for SUBLOCADE has not changed. We are continuing to build the scientific case as you saw in the recent studies published in the Journal of Addiction Medicine and the Journal of Clinical Psychopharmacology. And our penetration of organizational health system is progressing, albeit at slower rates than prior to COVID-19 impact. At the health care provider level, our teams have remained in contact with health care professional offices by remote calling, using digital technology enabled to -- using digital technology designed to enable clinical discussions and product presentations. We have refined the clinical messaging with training and new marketing materials. We've converted paper tools to digital ones. And as a result of these strategies, we have reached over 65% of target health care professional offices in April. In addition, we have just relaunched the sublocade.com website, which contains new patient-focused content and easier navigation. Lastly, we continue with our advocacy efforts across the political spectrum to remind government and its agencies of the ongoing need to address the opioid epidemic consistent with the national strategy that was published in February. It's also important to note that throughout these changes to our working practices, we have reviewed and made adjustments to our corporate compliance program to ensure that the ethics and compliance with the laws and regulations and that all the standards relevant to that are maintained. We are remaining vigilant and adapting quickly to target conditions and the recommendations of local governments and health experts, so that when the time comes, we will be ready to move quickly back into our global markets with our usual energy and sense of purpose. On a day-to-day basis, we're updating our business analysis and maintaining our operational rigor based on the latest information. We have demonstrated in the past our willingness to take appropriate measures to preserve cash. And while we're still some way from the point of having to pull additional cash preservation levers, we are prepared to delay or reduce CapEx that does not compromise safety or regulatory compliance and to reduce operating expenses across all areas of spending should we need to make further investments in our growth strategies for SUBLOCADE and PERSERIS.  Of course, as and when we gain greater clarity and predictability in business conditions, we will seek to update our full year 2020 guidance. So now, however, I believe Indivior is responding and adapting in the best possible way to this crisis, prioritizing its patience and workforce and acting with leadership. With that, I'll hand it over to Mark.
Mark Crossley: Thank you, Shaun. Good morning, and good afternoon, everyone. I hope you and your families are staying safe and healthy through these very unique times. First, echoing Shaun's comments, we are incredibly grateful to our 800-plus employees that have quickly adapted to the challenging environment, demonstrating tremendous agility and working tirelessly for our patients. As you saw, our first quarter results were in line with our expectations and tracking well towards our original fiscal year 2020 guidance. However, as we entered March and the effects of COVID-19 began to impact the business, it became clear we are entering a potentially prolonged period of uncertainty. Shaun has already set out the organizational impacts on Indivior. In terms of the financial impacts, recall that around 80% of our net revenue is generated from the U.S. Here, the stay-at-home orders across the states are having unforeseen impacts on prescribers and patients for PERSERIS and SUBLOCADE. Based on the latest market research data from IQVIA, total interactions with health care practitioners are down approximately 70% and new-to-brand prescriptions are down around 40% compared with pre-COVID levels. New product launches, as I'm sure you've heard from other pharma companies, as well as medicines requiring direct HCP administration, have been especially impacted. Given the unknown duration and extent to these impacts, we're obligated to withdraw our fiscal year 2020 net revenue and net income guidance in April. Moving forward, our goal is clear: we manage the acute near-term impacts of the epidemic and mitigate enterprise risk, while also preserving the resources and capabilities that we believe will allow us to emerge successfully once the environment begins to normalize. Now turning to Q1 results where we saw a minimal impact from COVID. First quarter total net revenue was $153 million. The 36% decline versus Q1 last year was expected and mainly reflected the entry of generic film competition midway through the first quarter a year ago, along with termination of our authorized generic program. These dynamics were partially offset by higher net revenues from our new long-acting injectables. As in previous quarters, we saw a trend of higher-than-expected SUBOXONE Film market share retention in the U.S., continued good sequential SUBLOCADE growth and solid underlying performance in the Rest of World business. We also saw the overall growth of the U.S. buprenorphine market improved to low-teen rates from increased overall awareness of medication-assisted treatment and from the temporary improved access to treatment Shaun spoke to earlier. In terms of existing SUBLOCADE patients, we're seeing that the patients have received at least, that patients that have received at least 1 SUBLOCADE injection are repeating in line with the pre-COVID retention curves. This is encouraging and speaks to physician and patient satisfaction with treatment despite the logistics hurdles the pandemic may be presenting in the near term. As we described in our April business update, after acceleration in new patient enrollments for SUBLOCADE in January and February, we started to see the material drop-off in enrollments in line with the IQVIA industry data. The lower enrollment rate will, of course, impact the total number of potential SUBLOCADE units dispensed and, therefore, our overall net revenue potential, while the business is impacted by COVID-19. With the uncertainty on how the disease will progress, the timing and trajectory of the impact to our business is uncertain. Looking more closely at SUBOXONE Film, our year-end 2019 exit share was 24%, and our share through the month of April has been relatively stable at 21% to 22%. This performance is better than our expectations and we believe reflects a combination of factors that are likely short-lived. First, we had above-trend volume growth in the U.S. buprenorphine market in the quarter. Market growth in January and February was in line with our forecast rate of low double digits but began to increase in March, just after much of the U.S. adopted some form of social distancing. Recently, overall market growth trends have remained in the low to mid-teens, reflecting government actions to facilitate access to medication-assisted treatment that Shaun spoke to earlier. As we've consistently stated, we do not have strong quantitative basis to explain SUBOXONE Film's analog outperformance. And as such, we expect it to ultimately match observed industry analogs. Further, the sole focus of our U.S. commercial teams remains our approved depot technologies, SUBLOCADE and PERSERIS, as our sales force does not support the film. Turning to the Rest of World business. Last year, you will recall that we had a comparability item in the first quarter, which had the effect of depressing Q1 2019 net revenue. As such, there's a low basis for comparison when we consider Q1 2020 performance. On a like-for-like basis, performance for the Rest of World business had a low single-digit growth primarily driven by modest growth in Australia during the quarter. Looking next at margins. First, at the gross level. On an adjusted basis, performance of 90% reflects the shift in product mix post termination of the authorized generic program. Looking at the operated line, again, on an adjusted basis, we reported a modest operating profit. We had increased expenses from our promotional investments behind SUBLOCADE, including the national DTC campaign that we initiated in Q4 last year. And we continued to run through the first quarter. We also had higher legal costs in preparation for the DOJ trial that was scheduled to take place in May. And as you know, the trial has now been rescheduled to begin in late September. As we move forward, we expect the SG&A run rate to be lower with the DTC campaign not running post Q1, along with operating expense reductions that I would describe as purse-tightening, meaning reducing or ending nonessential expenditures, including benefits from less travel and entertainment during COVID-19 restrictions. Continuing down the income statement, we see a net finance expense versus net finance income last year as well as modest tax charge, all leading to a modest adjusted net loss. Now a quick snapshot of our borrowing position. Our liquidity remains strong with net cash of $674 million. The decline from the beginning of the year largely reflects the timing of government accounts payable related to rebate sought. These payables were partially offset by continued relative strength of SUBOXONE Film and increased net revenues from SUBLOCADE, which is subject to lower rebate rates. As you would expect, given the uncertain environment, we intend to maintain our focus on cash preservation. The borrowings under the term loan are not due to be repaid until December 2022. As Shaun said, we can pull additional levers, if necessary, to bolster our cash position, although we're not at that point. Additionally, we have not drawn on our $50 million revolver. Turning to the provision for which the vast majority is related to the DOJ matter. This increased to $621 million from $438 million. Of the $183 million increase, $494 million is classified as a noncurrent liability with the remaining $138 million classified as current. The new amount reflects the current status of the continuing matter. Of course, we continue to caution that the amount could be materially different, and we cannot quantify the ultimate cost of any settlement, but it could have a material impact on the group. To repeat Shaun's comment earlier and to preempt your questions, we're not able to provide additional color on continuing litigation matters beyond what's in the release. Lastly, on guidance, we're continuously monitoring and planning our business and we believe are effectively managing the short-term impacts of the pandemic while also ensuring we're able to emerge successfully as and when conditions normalize. Our immediate priorities are keeping our people safe, helping ensure we have adequate supply of our approved treatments across the globe. And protecting the business for all stakeholders. We will provide new guidance as soon as we're in a position to do so. With that, I'll turn it back to Shaun for closing comments.
Shaun Thaxter: Okay. Thank you, Mark. So in summary, we had a good quarter 1, which gives us confidence not only in our strategies but our ability to execute against them. We're proud of our organization's resilience and determination to serve patients' best interest in the short term through the crisis. And from a management and leadership point of view, obviously, we're very focused on understanding the macro trends out there in the environment and understanding what the sort of nuanced impact will be on our treatment service provision as we start to migrate towards a new normal. And we're very open-minded to the fact that we may need to fine-tune and make adjustments to our sort of operating model and resource allocation to ensure that we are best positioned for growth in the new reality. So with that, we will open up for questions.
Operator: [Operator Instructions] And your first question comes from the line of Harry Sephton from Jefferies.
Harry Sephton: I hope you're staying safe through this pandemic. To start with on SUBLOCADE, do you have an estimate of how much impact the drop from mid-March had on your 1Q performance? And also, how should we be thinking about the disruption through this pandemic? Is it more of a reduced growth rate or a stagnation in the growth rather than potentially seeing an actual decline in the number of SUBLOCADE patients? I also have a question on your selling costs. I noted an increase of around $30 million on last year. What was the -- was the material difference here primarily from the direct-to-consumer campaign? And -- or were there any other drivers there? And also, do you have any plans to recommend the direct-to-consumer campaign in the future as we come out of this pandemic?
Shaun Thaxter: Okay. So thank you, Harry. First of all, we haven't observed any measurable, quantifiable impact on the Q1 performance. Obviously, enrollments were down at the end of the quarter. So there was an impact. We haven't traced that through to net revenue. So I think that that's our sort of best estimate there. In terms of the drop-off, we did see, whereas we were seeing an acceleration in quarter 1 across most of our -- well, all of our metrics that we consider important, we were seeing an acceleration and an uptick. I think for some period of time, we had been in a sort of linear growth mode, and everyone was waiting for when do we get to the inflection and start to see some of these KPIs accelerating. That means that there's a new growth trajectory.  So we did see early part of that in quarter one. It was then a very dramatic drop-off of the rate of new patient enrollment as soon as all the social distancing and lockdown measures went into place. In fact, you can trace the day of the announcements, and then the next day, we started seeing enrollments dropping off. So as we have sought to identify industry analogs and comparisons, you get a drop-off, you always want to know, are we doing better than everyone else, the same as everyone else, or worse than everyone else to try and understand what's caused by the generic environment and what are the things we can do to influence that. We see that we're pretty much in line with analogs for the types of products that patients have to go to the doctor's office to have administered. And this is sort of ballpark 40%. Then in the last two weeks, we have seen that what was a sort of progressive decline has actually stabilized. Now we don't know because that's the new stabilized platform, will it start to grow again? Or will it stabilize and then start to decline further? The best insight that we're able to gain at the moment is that there seems to be relative stability on the repeat prescriptions for existing patients in treatment. We know that patients are still enrolling, but the rate of new patient acquisition is the one that is most impacted. And I think that that's quite normal and to be expected. Doctor's offices are not encouraging patients to visit their offices. Patients are reticent to go to doctors' offices. And the government, the drug enforcement agency and SAMHSA have made it easier for doctors to be able to practice telemeds and then write a prescription over the phone, so that patients can nip to the pharmacy instead of having to come to the office. So those are the dynamics. However, what we do know is that, clearly, a great number of doctors are working through the challenges of COVID to make sure that they do get the medication to patients who are already in treatment with SUBLOCADE. So whilst it's speculation as to why they're doing that, you have to believe that they see that it's worth all that work and it's worth managing through those challenges. And that, therefore, they must be seeing a very real benefit of doing that extra work in that patient population. And that really is very consistent with the sort of stream of new scientific evidence that we have published progressively over the last few months. As we look in detail at our sort of prescriber base and say, what about our existing customers and what is their behavior? We are not seeing that health care professionals are dropping out of prescribing treatment with SUBLOCADE. So there is a reason that there's a good level of stability there. And I guess, it's common sense that you can easily imagine that in a time where it's difficult to go out and introduce yourself to new people and build new relationships, the effectiveness of the organization is better maintained in preserving and working with existing relationships because you can phone people up, you can e-mail them and you can develop an ongoing relationship. Where we are more challenged is when trying to create new relationships with people and organizations who we haven't met before and who we don't have a relationship. With respect to the sort of direct-to-consumer impact and plans, it's difficult at this stage to sort of tease out and separate the exact contribution of each of the elements of our strategy, but as we look across our KPIs, we've made very, very good progress, not only in the rate of new enrollment going up but the penetration of the organizational health systems and the whole sort of business development aspect of new channel development, which we said was fundamental to our growth strategy. We've made good, we made investments there. We're making good progress, and we're confident that we will be able to pick that up once we get the other side of COVID. I think the last part of your question was about selling costs, and I'll ask Mark to comment on that.
Mark Crossley: Certainly. Harry, on the selling costs. The increase versus the base period is a combination really of 2 things. Part of it is the direct-to-consumer sort of advertising that you're talking about. But then recall, as we talk through the Q4 results from 2019 or the fiscal year-end results from 2019, we have increased investments throughout the period as our strategy has expanded into channels, opening up OHSs, the IDNs, the criminal justice system, things of that nature. So there has been also an increased investment there. I would think of it as it's probably 50% to 60% DTC and the balance is these other investments to expand into these channels.
Operator: And your next question comes from the line of Max Herrmann from Stifel.
Max Herrmann: Firstly, just in terms of SUBLOCADE outside the U.S. Obviously, you've got Swedish approval. Just wondered if you could update us seeing Camurus' program do relatively well outside the U.S. And I wonder what your thoughts were on the opportunity outside the U.S. for SUBLOCADE.
Shaun Thaxter: Yes. Well, obviously, we do see a material opportunity for SUBLOCADE out the U.S. We've got product approval in Canada and Australia, and we've sort of started shipping product recently. So patients there will start to benefit from SUBLOCADE. The recent approval in Sweden, and we -- other -- obviously have other European countries where we are working through the registrations at the moment. So it's very hard to predict when those registrations will come out. It's very dependent on the questions that they ask and the volume of questions and whether the regulatory agencies work at their usual speed through this crisis. But we're certainly very comfortable with the nature of the dialogue that we're having, and those are all progressing. I think what's positive about the Camurus situation is, of course, that they are demonstrating that there is a need for some long-term injectable medication. So we're obviously very encouraged by that. We're also very confident in the science of SUBLOCADE. We know it to be unique. We know that the 2 nanograms per mil across the whole month providing 70% and above receptor occupancy is turning out to actually generate very meaningful new clinical outcomes. And you know that because if they weren't new and they weren't different and they weren't scientifically robust, they wouldn't be published in the quality of the journals that we're getting. So we're very much in a sort of situation of being very excited about the equity that we have. We're jumping up a bit to be able to turn that into meaningful benefits on a day-to-day level for the jobbing physician who is presented with patients. I think it's also worth recognizing in other countries, around the world, there's a heavy emphasis on supervised dosing. So for many patients, they have to go to the pharmacy every day and receive daily medication. So to have a once-a-month treatment really liberates that patient from sort of daily routine of all that goes with reinforcing and treatment. And if we can provide the receptor occupancy and the clinical impact that the studies show really provide those patients with a new opportunity to work towards recovery. We haven't given any financial view as to what that might quantifiably look like. Obviously, the regulatory and pricing environment evolves all the time. And when we have our products approved, we'll be able to look at the label, look at the pricing, and then we'll be able to make an informed view when we have that information.
Max Herrmann: And then just maybe a follow-up question on SUBLOCADE in the U.S. Obviously, you've put into this quite some detail in terms of new patient enrollment. Just the data we see is showing, obviously, growth of SUBLOCADE, maybe impacted, stalling a little bit given the impact of COVID-19. But given that we saw previously the rapid turnover that you see with patients going off treatment, if you didn't enroll new patients, wouldn't you not expect to see a much more rapid decline in total prescriptions, which is not something that we have been seeing? So I'm just trying to square that.
Shaun Thaxter: Yes. I'm not sure I quite am aligned with the idea that there's sort of rapid decline in turnover. I think that the retention in SUBLOCADE was at least as good as what we saw with other dosage forms. Maybe Christian can make a comment on the data. And as of now, we are seeing good retention rates in the SUBLOCADE population. So yes, over time, clearly, if you're not getting the new patients, you're not benefiting from the repeat prescriptions, and patients in treatment will eventually stop taking medication, hopefully, because we would wish that they're able to live an abstinent lifestyle and return to a more normal fulfilled life and hence, focus on recovery. But Christian, would you like to just make a comment on the retention rates and what we're seeing in the studies?
Christian Heidbreder: Yes. What we are seeing actually in the long-term safety and efficacy studies is actually a very good retention rate. And very importantly, what we are looking at far beyond abstinence is really these patient-centered outcomes and all the determinants that define what recovery is all about, that is, are you getting back to employment, for example, which is highly relevant, especially during this period. Are you, in other words, recovering your life. So I totally agree with Shaun on the retention here.
Max Herrmann: Has that changed then? Because you were obviously publishing the sort of retention rates by month during the first period of the launch. And I wonder whether maybe you're seeing better retention rates then than you were seeing when you were first presenting data on this?
Shaun Thaxter: I think the retention rates that we're seeing are still consistent with those data.
Operator: And your next question comes from the line of Paul Cuddon from Numis.
Paul Cuddon: I've got two, probably handle them one by one, actually. The first one, digging into the mid-teens growth in the MAT market. And given we know the sort of indirect impact of this pandemic could well last a lot longer than the pandemic itself. But I sort of wonder to what extent you're seeing new physicians gain waivers. And to what extent are you able to support them?
Shaun Thaxter: Thanks for the question, Paul. We have seen the increase in growth in the sublingual market. We think it's due to the efforts that the government has put in place to help with continuity of treatment and moving to telemedicine. And so we think via telemedicine where there aren't actual HCPs don't have to directly impact or administer the medication, the sublingual is obviously a preferred medication. So we think that's there. As it pertains to supporting physicians with regards to the film market, our sales force does not promote the film any longer. So with regards to getting their day to 2,000 waver, stuff like that, that's all handled via the various societies and getting the certifications. We continue to see those rates increase, albeit not at the kind of, not at the same rates as we saw in Q4 and prior to the pandemic.
Paul Cuddon: Okay. And that kind of brings me on to the sort of next question, which is given the opportunities in telemedicine and the difficulties in initiating new HCPs or kind of patient starts with SUBLOCADE, are you missing a bit of a trick to put a bit more effort into your own kind of branded generic SUBOXONE as a kind of anchor? But I can imagine your generic competitors won't be offering much support remotely to physicians at this time. And to what extent that could actually be used in the future to move towards SUBLOCADE?
Shaun Thaxter: Just on that sort of technical point, we don't have a branded generic SUBOXONE Film. There was one last year, but that was discontinued. We believe that the future lies in being able to give patients the best treatment option available, which, based on the available evidence, we believe that the scientific evidence base is building in favor of SUBLOCADE. So we're putting our resources behind the long-term strategic growth of that very sustainable franchise and that we are very confident based on where we were at just before COVID that we have good strategies and we have the capability to execute effectively against those strategies. Obviously, my expectation would be that as we go along the nuance and the fine-tuning of the strategy and the improved more experience you get and the capability to execute against it will accelerate the growth of the business. But do not believe it would be either in patients' or shareholders' best interest to distract ourselves from that key task because we've set out an expectation of $1 billion of net revenue for SUBLOCADE, and we are very much focused on making sure that we get there as soon as we can irrespective of whatever challenges may come along the way. And we're taking a long-term strategic approach to our business. And we will have to deal with the short term to the best of our ability.
Paul Cuddon: And just finally, are you able to break out sort of how long the long-term liabilities are on those provisions, I think in the past you've...
Mark Crossley: Paul, I'm not allowed to talk anymore with regards to it other than what's in the financials with the $138 million in the short-term and the $495 million in the long term. So I can't speak to the particulars, so I apologize for that.
Operator: And there are no further questions at this time. Sir, you may continue.
Shaun Thaxter: Okay. Well, if there are no further questions, then I'd like to thank everybody for their continued interest, active participation and support for this very important disease area and your continued interest in Indivior. And we will look forward to seeing you in the future and maybe online at conferences and meetings, but we will be there to talk to you and answer your questions. So thank you very much.
Operator: Thank you. And that does conclude our conference for today. Thank you all for participating. You may all disconnect.